Company Representatives: Shay Banon - Founder, Chief Executive Officer Janesh Moorjani - Chief Financial Officer Anthony Luscri - Vice President of Investor Relations
Operator: Good day and welcome to the Elastic, Fiscal Third Quarter 2019 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Anthony Luscri, Vice President of Investor Relations. Please go ahead.
Anthony Luscri: Thank you. Good afternoon and thank you for joining us on today's conference call to discuss Elastic’s third quarter fiscal 2019 financial results. On the call we have Shay Banon, Founder and Chief Executive Officer; and Janesh Moorjani, Chief Financial Officer. Following their prepared remarks, we will take questions. Our press release was issued after the close of market and is posted on our website where this call is being simultaneously webcast. Slides which accompany this webcast can be viewed in conjunction with live remarks and can also be downloaded at the conclusion of the webcast from the Elastic Investor Relations website at ir.Elastic.co. On this call today our discussion may include predictions, estimates or other information that might be considered forward-looking statements within the Safe Harbor provisions of the U.S. federal securities laws. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially.  These risks and uncertainties include those set forth in the press release that we issued earlier today, as well as those more fully described in our filings with the Securities and Exchange Commission, including our prospectus and 10-Q as filed with the SEC and Forms 8-K and other filings we make with the SEC from time to time.  You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results and any revision to these forward-looking statements in light of new information or future events unless required by law. In addition during today's call we will discuss certain non-GAAP financial measures. These non-GAAP financial measures which are used as measures of Elastic's performance should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Our non-GAAP measures exclude the effect of our GAAP results of stock-based compensation, amortization of acquired intangible assets, acquisition related expenses and non-GAAP tax rate adjustments.  You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP measures in the press release and on our Investor Relations website and the slides accompanying this webcast. The webcast replay of this call and slides will be available for two months on our company website under the Investor Relations link With that, I'll turn it over to Shay.
Shay Banon: Welcome everybody. It's great to be here today and share with you the results of our third quarter. This quarter we saw continued adoption of our products and features, expansions to new use cases, growth across all geographies and increased mindshare at all levels of business. For that I'd like to thank our wonderful community of users, customers, developers, partners, investors and our employees and their families.  In Q3 revenue grew 70% year-over-year to $70.8 million. We had more than 7,200 subscription customers at the end of the quarter, including over 380 with annual contract value of more than $100,000. And our net expansion rate was over 130%, which we've maintained for nine quarters in a row now. But before Janesh dives into the details of our financial performance, I'd like to talk a bit about some highlights from the last quarter and I thought I'd start with the topic of Airport Security Lines.  We are a distributed company, so airplane travel is not uncommon. In the quarter I traveled to Israel and Japan to spend time with our communities and new teams there. I went to New York for our Elastic{ON} Tour events. I also spent nearly a full day afterwards speaking directly with our customers in the city. Also flew to Amsterdam to celebrate the move to our new office with the original founders, the team there and our local users and customers.  So throughout all of my travels, there was this constant airport security lines which made me think of Canvas. I spoke about Canvas on our last call. It’s a free feature in Kibana that we previewed in our 6.5 release, and I'm particularly excited about it, because it shows how we build search technology that really unleashes the creativity of our users.  One place we've seen this is at the London, Stansted airport. Their security operations team wanted to use Elastic to visualize data like train arrivals to the airport, plane departures from the airport, passengers flow through security line and even counts over those plastic trays you put your laptop in.  So they started with the usual Kibana dashboards, but they wanted more freedom to illustrate the real time flow of passengers through the airport, in a way that reflected the physical space. So they turn to Canvas. They created several work pads. One of them actually mimics the physical layouts of their security lines. You know how those two lines sort of merge together as they approach the body scanner, that's what they created in Canvas and the lines change color. So green for good flow, orange to indicate a slowdown and red is when I show up.  Now they have this fantastic way to communicate to security staffers and even their head of business intelligence what the real time flow of passengers in the airport looks like. Our inbound trains delayed, can they anticipate an influx of passengers, should they prepared to open up more security lines, are they running out of those plastic trays, yes that is always the case.  Now I won’t to go through the whole evolution. You can learn more about that on our website, but the end result was rather remarkable. I wanted to start with this story, because it is use cases like these that speak to our continued momentum across different vectors.  One is broadening the consumption of our products to more types of users and use cases. The second is creating critically valuable proprietary features like Canvas, which in this case is free under the Elastic license that only we can provide. And third is the ability to store more data and stay fast while still being efficient.  I'd like to talk a bit about that third one, because there's an inherent tension between speed, storage, and efficiency. In logging and metrics use cases there's often large volumes of data, and it's common to store that data in time based indices, so in index per day for example. And as more and more data gets ingested, it can add up and become more expensive to store and difficult to manage.  Broadly speaking, many technologies make it a zero sum game. You would have sacrificed speed in order to store more data or you sacrifice the amount of data you can store to maintain speed and save on cost. But we think about that tension differently; we strive to balance it and we are uniquely positioned to do so with the features in our products. At home architectures and data rollouts are two examples of that, which I spoke about in our last call. This quarter we released new features that continue to build on these themes.  The first is what we call frozen indices. This is a feature relevant to data retention use cases, especially where auditing, compliance and long term data analysis are important. We build this feature in order to give users the choice to more efficiently store more data, but at the expense of query speed. This is hard for us. We jokingly tagline this effort, “it would make its slow.”  So now a single node can easily manage thousands of frozen indices with a very low overhead and a query that would take 100 milliseconds on a hot index only takes one second on a frozen index, that's pretty mind blowing; even when we're slow, we are fast.  Hot, warm, cold, frozen, if you think about it data sort of has seasons to it. It starts out fresh and it’s frequently accessed on hot notes. As time passes, it ages and moves to warm, then cold, frozen and if not needed, deleted. And there have always been ways to manage these lifecycle in Elastic search through a scripted automation or additional plugin. It's just an API call away. But we knew we could make this a more efficient and integrated experience in our product. So we previewed Index Lifecycle Management or ILM in our 6.6 release. Now our users simply define their data retention policy and ILM takes care of the rest.  I'm happy to say that these features like Canvas are also free and proprietary under the Elastic license. I'm excited about them because of their impact on so many of our users, especially with logging and metrics use cases. This is just another step forward to align our users to efficiently search and store any type of data in Elastic, regardless of age.  Take for example the French auto manufacturer Group PSA; the company behind the brand's Peugeot, Citroën, Opel and Vauxhall. They renew their business with us in the quarter. They used Elastic to get real time insights from all their logs and metrics at all levels, from engineers to management. They data streams in from many sources; applications infrastructure, network, security tooling and even the factory floor, and each data type has its own lifecycle that needs to be managed.  Another logging example is La Poste, the French Postal Service, who also renewed business with us this quarter. With Elastic they've scaled out their centralized logging service and are capturing data from their applications, infrastructure and network. I also had the pleasure of meeting with them at our Elastic{ON} Tour, Paris event, and they are excited about deploying our APM solution, expanding upon their existing logging and metrics used cases.  So in the context of these new features, I am confident our users will be able to more easily store and access even more data in our products at a lower cost. This also makes it even easier for customers to expand with us, and adopt us for new used cases, which is often how people grow with us.  An example of this is Groupon, an ecommerce marketplace, who has used Elastic to power the search experience for some time. Recently they share with us that they, and I quote “made a strategic decision to start the replacement of Splunk with Elastic” dramatically expanding their use of our technology to power their global enterprise logging platform. Another example is Choice Hotels, a large hotel franchiser headquartered in the U.S. who closed new business with us this quarter. They are using Elastic for application and infrastructure logging and switch to our technology for a few reasons. First, the powerful features we provide like security and machine learning. Second, the flexibility to expand to new use cases like metrics and APM. The third is access to world class support experts. So you can see a pattern here. We continue to see momentum behind adoption and expansion of our technology for more use cases and audiences. But this theme of speed, storage and efficiency which is beyond just logging and metrics use cases. Take the security space for example, every log, every security event can be an important fiber in the larger fabric of an organization's knowledge base. Excluding date because of cost can result in a holds or volubilities. Elastic doesn't make users choose what to leave behind. We continue to see us get adopted in several of other solutions for these reasons.  One example is Rico Group, a Japanese multinational imaging and electronics company who recently renewed and expanded their business with us. I met with the team there, and I was blown away watching them demo what they’ve built. They replaced their initial logging solution with Elastic, which has become an integral part of their security analytics, customer service and network operation infrastructure. I love it when several use cases are woven together and have a compounding effect on an organization.  We've seen these at Samsung SDS who closed new business with us in the quarter. I had the pleasure of meeting with them last week at our Elastic{ON} Tour event in Soho[ph]. They used Elastic for security analytics and many other use cases, such as enterprise search, app search, logging, infrastructure monitoring for many Samsung businesses within the Samsung Group.  Another example of this is Australia's largest telecommunications company Telstra, who renewed and expanded their business with us in the quarter. They migrated from their previous search appliance to Elastic Site Search Service for search across their internal and external websites. They also used our software across several other teams to power threat detection, security analytics, and network monitoring across high profile customers. We live and breathe to be able to enable this kind of flexibility for our users.  Another important aspect in the security space is Geo Data Analysis. For example, identifying the location of an IP address, participating in a DDoS attack, that's a Geo problem. You can imagine how being fast really matters in a scenario like that. This is true for other use cases as well. When you filter results based on location, on a ride sharing app like Uber, that's a Geo problem and fast results matter. If you are stuck waiting too long, you may just find a Lyft elsewhere.  So Geo has always been core to what we do. It’s a first principle feature of our products and we've continuously invested in making it a fast experience in Elastic. How have we done that? A few years ago we implemented a type of data structure called DKD 3 in Elasticsearch and what it does is allow for three things, significantly faster indexing, faster quarries, and more efficient storage for Geo use cases.  Up until today it was only apply to what's called Geo-point analysis, pink dots on a map, latitudes and longitudes. As of 6.6 release this quarter, we’ve applied DKD 3 to GeoShape analysis. So we’ve moved from analyzing dots to areas, which can be more involved because we are talking about the analysis of more complex shapes, like bike trails, voting districts, state borders, and bus and shipping lines.  We've heard from one Geo customer that they are seeing nearly 30x performance improvements for this type of geo-analysis in version 6.6 compared to 6.5, which I find very exciting, making things faster is also a thing at Elastic. So you can start to see how these improvements are just one step we are taking towards geo potentially playing a bigger role in the Elastic solution space and we are very excited about that.  Before I close, I'd like to talk about development with our APM Solution. I'm super excited about Elastic APM now being available on our Elasticsearch service and Elastic Cloud Enterprise AKA, ECE 2.1. I can't wait for our users to get out there and try it. The team really has done a wonderful job.  We also released a major feature in Elastic APM called Distributed Tracing. This feature gives users the ability to observe complex interactions happening between their services and applications. If a webpage is loading slowly, any number of things could be causing it; is it the browser, the server, the database, a third party system, maybe a backend API. With Distributed Tracing users get full visibility into all of this and can quickly pinpoint what's wrong. This is a key capability as more and more applications moved towards distributed and micro services based architectures.  I'm also proud to say that all of our APM agents are compatible with OpenTracing, which is a vendor neutral way to introduce Distributed tracing into applications. OpenTracing is a project of the Cloud Native Computing Foundation. I shared this because we formally became members of this foundation in the quarter.  This is meaningful to us for a few reasons: It strengthens our commitment to open standards. It demonstrates our capabilities with technologies like Kubernetes and Prometheus. We even previewed Helm Charge in Elastic in the quarter. Lastly, it shows our investments in Cloud Native Technology stacks and the observability space. Continuing to invest here remains important to us, so much so that we've organized some of our engineering teams around it.  As you can see, Q3 was a strong quarter for us. Our users and customers continue to embrace our search products that address an expanding set of use cases. Given the incredible customer and user demand that we are seeing, we are further accelerating investments across all parts of the business. We look forward to our continued momentum as we close out FY ‘19.  And with that, I'd like to say thank you all very much and I'll hand it over to Janesh to talk about our financial results from the quarter in detail. Janesh. 
Janesh Moorjani: Thanks Shay and thanks again to everyone for joining us. We executed well during our first full quarter as a public company and I'd like to express my appreciation to all our employees and their families for the hard work that went into this.  I’ll first go through our results for the third quarter of fiscal 2019 before discussing our outlook. We performed well across all dimensions in the third quarter, robust customer growth, the high net expansion rate and strong billings and revenue growth across all geographies.  As Shay mentioned, total revenue for the third quarter was $70.8 million, growing 70% year-over-year. Subscription revenue totaled $64.6 million, an increase of 65% year-over-year and comprised 91% of our total revenue.  Within subscriptions, revenue from our SaaS products was also strong at $11.7 million, growing 67% year-over-year. While we remain very excited about the SaaS opportunity ahead of us, we remain agnostic to customers preferences on how to purchase our subscriptions, whether SaaS or self-managed. Over time we expect SaaS to gradually increase as a percentage of revenue based on customer adoption patterns.  Professional services revenue was $6.2 million, an increase of 136% over the same period last year. In the quarter we saw strength in training and a healthy ramp in our consulting business. Professional services revenue is typically recognized at the point in time the services are delivered and can therefore fluctuate from quarter-to-quarter. We expect professional services will remain a small proportion of our overall revenue as our business grows.  In terms of geographic breakdown, given our roots in open source and our globally distributed model, we continue to enjoy strong growth outside of the United States. In Q3 44% of our revenue came from outside the U.S. We saw broad based strength across all geo's and in particular EMEA. Our investments in the EMEA region have put us into position to scale in the coming years. We believe we have a rich market opportunity across the world and remain dedicated to investing appropriately to capture that opportunity.  Moving on to calculated billings. We define calculated billing for any quarter as total revenue recognized in the quarter, plus the sequential increase in deferred revenue as presented on our statement of cash flows, less the sequential increase in unbilled accounts receivable. Calculated billings in Q3 was $79.8 million, an increase of 68% year-over-year. The mix of short term deferred revenue was consistent with prior quarters at 92% of total deferred revenue.  At the end of Q3, remaining performance obligations totaled approximately $304 million, of which we expect to recognize 86% as revenue over the next 24 months. We were pleased with the growth of the remaining performance obligations which signal continuing long term customer commitment to our technology.  As we’ve said before, calculated billings can fluctuate from quarter to quarter based on the timing of renewals and billings duration for larger customers. Given this, an additional way to look at calculated billing growth is on a training 12 month basis, which provides a longer term view of the business.  Trailing 12 month calculated billings growth ending Q3 was 76%. This compares to 77% in Q2. We are very pleased with the calculated billings growth this quarter and the underlying demand that is driving our business. The strong growth in Q3 was driven by a broad array of growth vectors, including new customer additions, new use cases at existing customers and larger deployments.  At the end of Q3 we had over 7,200 paying subscription customers compared to over 6,300 such customers at the end of Q2. We continue to see strong momentum with new customer additions. We also remain focused on growing the number of our larger customer accounts and ended the quarter with more than 380 customers with an annual contract value above $100,000 compared to more than 340 such customers at the end of Q2. Our existing customers continue to expand their relationships with us, reflecting increasing spend for existing use cases and adoption of new use cases.  In Q3 our net expansion rate remained over 130% for the ninth consecutive quarter. As a reminder, we view anything above 130% as being best in class which is why we consider that a relevant benchmark. Overall we were pleased with the pace of customer additions and custom expansion. When viewed collectively, these metrics provide insight to our execution against the enormous market opportunity ahead of us.  Now turning to profitability, which is non-GAAP. Gross profit in the third quarter was $52.6 million, representing gross margin of 74.3%. Total subscriptions gross margin was 81.1% in line with the past couple of quarters.  As planned, we continue to make investments in the SaaS business in Q3 and are tracking well relative to our expectations. In the near term we will continue to invest in our SaaS business and it will remain a modest headwind to gross margin overall.  Our professional services gross margin was 3.6% as we added further capacity in advance of revenue and as existing hires ramp to productivity. Since the professional services businesses is small, even relatively insignificant amounts can swing the gross margin in either direction, so we expect that the gross margin and professional services will fluctuate significantly from quarter-to-quarter.  Turning now to operating expenses: We remain focused on investing to drive top line growth. Overall growth in spending was lower than planned, driven primarily by slower than expected headcount increases. The holiday period had a greater impact than we expected. To a lesser extent there was some timing related expense push outs to Q4.  Sales and marketing expense for Q3 was $33.7 million, up 71% year-over-year, representing 48% of total revenue. While we expect to realize leverage in sales and marketing as we scale the business, our primary near term focus remains adding seals capacity and expanding market coverage as we drive growth. We plan to further expand our sales team in order to grow in new markets, as well as deepen a penetration where we already have seals coverage.  R&D expense in Q3 was $21.1 million, up 55% year-over-year, representing 30% of total revenue. R&D remains a major investment area as we expand our innovation advantages. Shay earlier provided a number of examples where we continue to invest heavily in both existing and new products to address a growing number of use cases.  G&A expense was $9.6 million, up 45% year-over-year, representing 14% of total revenue. This includes costs associated with our global expansion and continuing to build the infrastructure to scale for the future. Our operating loss in the quarter was $11.7 million with an operating margin of negative 16.6%. Net loss per share in Q3 was $0.16 using $70.7 million basic and diluted shares outstanding. This compares to a net loss per share in Q3 of last year of $0.27. Free cash flow was negative $9.9 million in Q3 compared to a negative $2.8 million in the same period a year ago.  As a reminder, there are both seasonal and timing effects in cash flow. Free cash flow is seasonally stronger in the first half and weaker in the second half. There can also be some lumpiness to inflows and outflows in any particular quarter. While we don't formally guide to free cash flow, we expect Q4 to remain negative with a modest improvement in free cash flow margin for the full year FY ‘19 versus FY ‘18.  Turning to the balance sheet, we ended the third quarter with approximately $306 million in cash and cash equivalents. We remain comfortable with our cash position from an operating perspective.  Lastly, we ended the quarter with 1,247 employees, adding 118 people in the quarter across all functions. We are adding people across the board to support the growth of our business and expect headcount growth to accelerate in the fourth quarter as we further invest in our business.  Moving on to guidance. Before I provide the outlook for Q4 and the full year, let me share with you our investment philosophy. We expect to maintain a discipline and thoughtful approach to drive future top-line growth.  Innovation remains a top priority for us and we will continue to invest in R&D. At the same time we will continue to invest in sales capacity and coverage globally. While we are still working through our FY ‘20 plans, given the significant market opportunity we expect to further accelerate head count related investments. Some of these investments will be intended to secure growth in FY ’20, while others will help drive growth only over the long term.  Unrelated to these investments, I'll also point out for modeling purposes that we expect FY ‘20 expenses to be weighted towards Q1 given timing of internal global corporate events as the company continues to scale. I plan to share additional details regarding our FY ‘20 outlook at our Q4 earnings call.  Turning specifically to the fourth quarter and the full year fiscal 2019. For the fourth quarter of fiscal 2019, we expect revenue in the range of $74 million $76 million, representing a growth rate of 51% year-over-year at the midpoint. We expect non-GAAP operating margin in the range of minus 26% to minus 24% and non-GAAP net loss per share in the range of $0.30 to $0.28 using approximately $74 million ordinary shares outstanding.  For the full year of fiscal 2019 we expect revenue in the range of $265 million to $267 million, representing a growth rate of 66% year-over-year at the midpoint. We expect non-GAAP operating margin in the range of minus 22% to minus 21% and non-GAAP net loss per share in the range of $1.13 to $1.11, using approximately 56 million ordinary shares outstanding.  In closing, Q3 was an exceptional quarter. We delivered top line growth of 70%. I'm very excited about the strong results and I look forward to sharing our progress with you at our next call.  With that, let's open it up for questions. Operator. 
Operator: Thank you. [Operator Instructions]. And our first question comes from Mark Murphy of JP Morgan. Please go ahead. 
Mark Murphy : Thank you and congrats on the impressive strength in the business. Shay, you mentioned the Groupon is replacing Splunk with Elastic. I think you also said Choice Hotels switched to Elastic and that Rico Group replaced a logging solution with Elastic. So I didn’t catch who the other two incumbents might have been and I'm not sure if you're disclosing that, but my question is whether you are seeing some kind of a sustainable trends change in that type of replacement activity as opposed to Greenfield or were those just a few one offs scenarios that happened to occur this quarter. 
Shay Banon : Sure, I can take it. Hi Mark. I would say that nothing fundamentally changed versus the previous quarter in terms of our growth in the context of the logging use case. We're both getting into what we call Greenfield use cases, the need to log never goes away and new projects pop around, whether within organizations on new organizations are happening, and as you know we are one of the most popular open source logging solutions out there. But at the same time there's existing investments in logging solutions with other vendors that simply either age or becomes difficult to manage and this is where we shine as well. So we have this, I would say pincher like adoption model that just continues to perform the same way that we have historically. 
Mark Murphy : Okay, great, and then for Janesh, how did the U.S. Federal business fair during this shutdown and would you say that all the agencies moved ahead as scheduled? 
Janesh Moorjani: Mark, so broadly speaking, I think we're very pleased with the performance overall that we saw. The federal business for us didn't see a significant impact associated with the shutdown. Obviously we are coming off the prior quarter, which was seasonally strongest because of the government's year end and in many instances the agencies with which we deal weren’t really impacted by the shutdown itself. So we don't see any significant impact associated with that. It was the quarter that played out as expected for us in that space. 
Mark Murphy : Thank you very much. 
Operator: Our next question comes from Raimo Lenschow of Barclays. Please go ahead. 
Raimo Lenschow : Perfect, thanks for taking my question. Shay, we talked earlier that you know a big part, 44% of your revenue comes from international. Obviously those markets seem a little bit more volatile given the macro, but also are usually kind of happier to adopt open source. Can you talk a little bit about what you're seeing internationally in terms of you know how customer behavior is evolving there? 
Shay Banon: Sure, hi Raimo. Yeah, this again continues on our historic execution. It starts with the open source as a distribution model, which knows no boundaries or country lines if you will and that means that our adoption levels are pretty sustainable across the whole world, which we’re very excited about. This also means that we as a distributed company have a footprint globally that is probably different compared to other companies in our realm, both of which we are very excited about.  When it comes to whether Europe is slightly more volatile versus others, you know it's very hard to talk about microeconomics and what would happen one way or another. What I am excited about is that Open Source tends to be an – Open Source in the free distribution model tends to actually benefit sometimes with a certain downturn in microeconomics and I think that can work to our advantage over the long term.  And I will also say that when it comes to open source adoption, we don't necessarily see Europe as something that outshines the U.S. or other regions. When it comes to pure Open Source adoptions, we just see it constantly happening across the whole world. I just came back from Korea and we had an event there with 450 attendees and they are adopting our software quite happily as well. 
Raimo Lenschow : Okay, perfect. And then can you talk a little bit about this, there is a good few software companies out there that use Elastic as a foundation and then just have kind of solutions on top of that. Something you kind of acquired, you know especially I’m thinking about the APM space. Can you see how your relationships with these guys, with you know the guys that are trying to build on your platform is evolving as you go and kind of go yourself into some of these product areas? 
Shay Banon: Sure, I mean our approach to customers, to companies that build on top of our products is to make sure that they are as successful as possible. Any usage of our product means that we succeed as a company, and again it goes back to the fact that we make it very easy for users to go and build and innovate on top of our products. If we happen to get into a certain market, the success in our market, in this market versus others that have built on top of it to us is the fundamental technology, our software, we are succeeding regardless.  So in a philosophical way we’re I would say more on the Microsoft camp if you will when it comes to trying to make sure that we build a foundation that companies can innovate on top of it and sometimes will get into it here and there, but still work very hard to make sure that our partners and our customers are successful in this space. 
Raimo Lenschow : Perfect, thank you. Congratulations from me as well. 
Shay Banon: Thank you. 
Operator: Our next question comes from John DiFucci of Jefferies. Please go ahead. 
John DiFucci: Thank you. I have a question for Shay and then a follow-up for Janesh . Shay, just thinking about the use cases and we talked to people in the field and we're trying to do more and more of that with you guys. We are hearing a lot of discussion or interest in the field on the security use case. I guess how should we think about that. I know that’s small for you now and it's actually relatively new. But can you talk – and you talked about it in the last call too, but how can we think about that, how its evolving now and how this sort of interest flows into sort of revenue from where we can see. 
Shay Banon: Sure, hi John. So a few things there. I think that you can easily map our trajectory in the security space, because it's not hard to take logging use case for example and repurpose it to a security use case at the end of the day and I mentioned it in the prepared remarks. A log can easily be used not only for operational use cases, but also for security use cases.  When I look at that space, the way that I think about it is it feels very similar to how we got adopted in the logging space about three or fourth years ago. What people sometimes forget is that we actually started and people compared us or users competitors to enterprise search solutions and we actually went through an evolution of us being used in the context of logging and I see that playing out now in the security space.  Obviously this is what we call the dance that we have with our users. We go to conferences, you go to our RSA or our own conferences and we hear users adopting us, thought leaders if you will in the context of security use cases and we’ll listen to it as well and make sure that we have the right R&D investments internally to make sure that we build the right product in that context. 
John DiFucci: So maybe just look back four years and think about security today, the way that we thought about logging back then and enterprise search, that’s sort of how likely we can translate into at least a first case or first look into how it transforms into revenue, is that what you are saying?
Shay Banon: Yeah, broadly speaking, four years is a very long time frame, but this is how we think about it. I mean I can tell you form a product perspective and a market perspective, we have people that know the security space. We're closing business today in the security space and we're investing in both integrating and supporting all the companies that build on top of us in the security use cases and we’re also making sure that we're building the right level of product features in order to support more intimately and natively the security use case. So yes, I would say that what you just mentioned is correct. 
John DiFucci: Okay, great, and we continue to hear a lot about it. And Janesh, the numbers this quarter sort of speak for themselves and I realize that license is a small portion of your revenue and after you've been really good about making sure we understand that, but it was almost like $4 million greater than we modeled it. Was there any change to the average weighted duration of your contracts in this quarter that might have had a modest positive accounting effect on that line item. 
Janesh Moorjani: No, nothing that comes to mind John. There was nothing fundamentally different in terms of the assumptions or in terms of the broader contract durations. For us contract durations have been roughly 1.5 years overall and we are pleased with the duration in the quarter. It was consistent with what we've seen in the past.  It can very a little bit across quarters to your point, but I think quarter was straight down the middle of the fairway and those long contract durations, really are a reflection in our minds of the commitments that customers are making on the technology as they continue to use us in mission critical environments. So we emphasize long-term contracts and it's generally a good thing, but we didn't see any significance shifts this quarter. 
John DiFucci: Okay, thank you very much and nice chat guys. Thanks.
Janesh Moorjani: Thank you. 
Operator: Our next question comes from Heather Bellini of Goldman Sachs. Please go ahead. 
Heather Bellini : Great, thank you, and I got a handful of questions. Some of these have been touched on in different ways, but figured if we can try and get a little bit more information. I guess Shay, if you could you share with us because the APM examples that you gave are really interesting and I was just wondering if you could help us.  What is it about your APM products that makes it easier to manage with Elastic over the incumbents? If you could kind of tell us what the key selling points are? And is there a way for you to share with us what percentage of deployment you think are using you for APM and kind of how that penetration rate has been changing?  And then the other question I wanted to ask a little bit about is, you know with MongoDB right now there's a lot of debate in the market about AWS being a competitor given they launched DocumentDB. This doesn't come up as much with you, but just in case it starts, I was just wondering if you can remind people of what you've heard from customers about why they choose to stay on Elastic versus you know kind of exploring the AWS Elastic offering. If you could share with us a little detail there if there's anything new from customers that you've heard? Thank you. 
Shay Banon: Yeah, sure. Hi Heather. I’ll start with the first one. Our goal with the APM effort is twofold at this point. The first one is to make sure that users that have invested with us when it comes to the logging and metrics use cases get additional value and insight from our product when it comes to adding APM data into our system.  We truly believe that by being able to combine APM metrics and logging in a single system, you get a level of visibility into your infrastructure that is has just a compounding effect versus as additive effect. So I'm excited about that, and in my prepared remarks you hear me mention that we are just users and I go and talk in conferences. They just get excited about hearing that we now provide APM and being able to add that to their existing investments with our products.  That's also by the way our go-to-market efforts now. We don't go into what we call Greenfield customers and say adopt us for APM directly, but we want to make sure that to a degree every single logging and metrics user will start to use us for APM and that's more of the road ahead versus what’s happening now across all the customer base.  When it comes to the value that they are getting, I mentioned the visibility that they have across the board, but that's also the fact that we are investing APM as a product on its own, which I mentioned and that both includes for example building agents for all the popular programming languages, as well as investing in a higher level functions like Distributed tracing.  When it comes to actually competing for example head-to-head with other pure APM vendors, that’s not something that we do now. But again, I think that our unique position and what I hear from our users is the ability to combine these three efforts, three segments together. And to be honest at one point in the future we believe that these three aspects will just become the same datasets of the same used case and we are positioning our company to be in that level.  When it comes to the AWS question, if you remember we mentioned it as well. We set on a path where we actually doubled down on open. We took our commercial features and opened them and folded them into our products and in creating a three tier that only we can provide as part of our SaaS offering and self-manage offering, and that three tier basically allows users to still use our features for free, but still allow us to be the soul provider of these features.  As I mentioned in my prepared remarks, this is getting bigger and bigger and bigger. Just a reminder, we did it for the first time only slightly more than six months ago when we released it. But you can see already the trajectory of it when it comes to Canvas as an example, as well as frozen indices which significantly reduces the cost versus other people that use Amazon at Amazon Elasticsearch Open Source and even all the way up to APM. So APM is also a free proprietary feature, at least part of it, and that's something that we just launched on our SaaS service as well. So that’s the path that we've taken forward. It’s slightly different than other companies. We are using our advantage with the open source distribution model to start to drive more features, that we will be the only provider and vendor that can provide it. 
Heather Bellini : Great. Thank you very much.
Operator: Our next question comes from Kash Rangan of Bank of America/Merrill Lynch. Please go ahead.
Kash Rangan: Hi, congrats on the quarter gentlemen. Two questions: One is, Shay when you look at the security logging use case market, is it your view that with Elastic doing a good job that there is a – you're broadening the market. The market itself is opening up more and adoption rates are picking up, or is it that replacement aspect is becoming a larger part of your story.  And also Janesh, one question for you. It looks like the number of new subscription customers you added seems to be growing pretty significantly. It’s almost 2x from where it was a couple of quarters back. Is this likely to be a leading indicator of business and also if you can just finally touch upon the hiring trends and what rate do you expect to grow your sales capacity in the next fiscal year? That's it for me, thank you. I know it’s a lot. 
Shay Banon: Yeah, thanks Kash, I'll take the first one. I will mention it again in the context of logging and how we get adopted in the context of the security space. So we see two types of adoptions. The first one is new companies that try to build a SIM solution or try to build a way to be able to have visibility into their security events. These type of new companies, startups, all the way from startups to new projects within organization tends to favor more adoption of open source and tools and they all tend to be the thought leaders if you will in the space and we see the adoption happening in the context of our products.  Yeah, we don't yet have the end-to-end security solution or SIM solution out there; we're working towards it, but these are people that value the speed and all the core capabilities that we have and they are joining us basically on this journey, the same way that they joined us four years ago when it came to the logging journey.  At the same time the other side of the equation are companies that made investments in existing same solution and they just start to, to be honest fall over. You try to put more and more data into them and they struggle when it comes to being able to provide relevant results in a timely manner. And as you can imagine when it comes to the security space, this is critical to provide. So these companies, those are large companies are willing to again roll-up their sleeves, until we have an end-to-end solution in the SIM space and replace or augment some of their existing SIM solutions just because of the criticality of that in their business.  These are the two ends of the spectrum if you will that we see mostly in the context of the security space and obviously we're working towards broadening that all the way to the whole spectrum. 
Shay Banon:  And Kash, this is Janesh. In terms of the other couple of questions, on the total customers we are obviously very pleased with the way the team executed here in Q3, getting up to more than 7,200 total subscription customers and if I think about that just in absolute terms, you're right, it's an increase. The other way to think about it is in terms of year-over-year growth and its broadly speaking, consistent with the pace that we see in the business overall.  It’s a little bit tricky to think of that as a leading indicator, just because there is long tail and you know the future growth really depends on adoption patterns and growth patterns which you then see within that broad base, so I'd be a little bit careful about doing that.  And then finally in terms of the investment profile for next year, we're still looking through our plans for fiscal ’20, so I don’t have a number that I can share with you in terms of how and where we would specifically invest, but I can tell you that based on what we see out there as the market opportunity, which is really the same as we perceived it 90 days or so ago. We are continuing to look at investments really across the board in all sales functions, both deepening coverage and territories that we already have present, as well as expanding into newer territories. 
Kash Rangan: Wonderful! Thank you so much.
Operator: [Operator Instructions]. Our next question comes from Matt Hedberg of RBC Capital Markets. Please go ahead. 
Matt Hedberg : Hey guys, thanks for taking my questions. Congrats on the results!  Shay in your prepared remarks you talked about working to broaden the consumption to more users and clearly highlighted a lot of the investments you are make from a technology perspective to enable this. But I guess I’m wondering, can you give us a little bit more detail and color on some of the other things that you are doing to drive accelerated consumption. And I guess maybe specifically, can GSIs play a bigger role in terms of expanded distributions you got and what sort of investments would we require there? 
Shay Banon: Sure. So I think that I can use one example and then at least tell how we think about it. So I like to think about Canvas as a way to broaden the consumption of our software. I’ll reiterate the story of Canvas. We build Kibana as a way to visualize data in Elasticsearch and people have been very successful. We are building dashboards that cover data all the way from logging to security to metrics to auto use cases. But what we saw is that this dashboard started to popup not only in front of operations people, but also in the entrance of companies or at the office of CCO’s and CIO’s and CTO’s.  And when it comes to that we actually believe that for them to be proud of data that is the fiber of their business, we need to provide them with the tools that they'll stick to and actually be happy when they show it's around. And so that’s when we created Canvas, because it allows basically to create partially – it allows us to create this level of expressability of data and something that you're proud to put at the entrance of your company hallway, on the hallways or at CCO when they show off their security implementation.  That's one example where the users are actually either, you know first order users, which is the C-level executives or second order users which are the people that walked the hallways and see how proud a company is of their data. So that's at least one aspect of it. 
Janesh Moorjani: Then maybe just to touch on the GSI question more specifically, we have partnerships with a number of GSIs Matt as we've touched on before, many of those in the early days. And the thing to keep in mind with the large GSI’s is that they as well as other partners will go where customers eventually lead them. So we focus on really building those deeper and longer relationships and then as the business continues to grow and scale, I think that's when the some of the larger GSIs will be in a position to better invest and build practices around Elastic.  
Matt Hedberg:   That’s super helpful Janesh, and then maybe one other one for you. In your prepared remarks you talked about you know trailing 12 month billings is the way that we should look at calculated billings and I think that's certainly helpful to keep that in mind.   I also think in the past you’ve talked about the seasonality of billings being the strongest in Q2 and Q4. You know realizing that this coming Q4 is a difficult challenge, is there anything else we should consider when we think about billing seasonality this Q4?  
Janesh Moorjani:   When I look ahead at the number, obviously Q4 seasonally is our strongest quarter and a significant portion of the business for the full year gets done in Q4. So I don't see anything significantly different at this point in time, but what we have done is reflect the overall performance that we do anticipate in the guidance that we provided.  
Matt Hedberg:   Great, thanks a lot. Well done guys!  
Janesh Moorjani:   Thanks Matt.  
Operator:   Our next question comes from Tyler Radke of Citi. Please go ahead.  
Tyler Radke:   Hey, good afternoon and thanks for taking my question. I wanted to ask you about the SaaS or cloud business. It looks like this quarter the growth rate decelerated further over time and is now growing in line with the overall business or overall subscription. I guess I would have been a little surprised you know to see that, like especially in few months ago. Can you just talk about what's going on in that business? I know you did somewhat recently launched the service on Adger [ph], so I just would have thought maybe there's some pent-up demand there?  
Shay Banon:   Yeah, I can take that. So first of all we announced last quarter that we've released a major feature in our SaaS-service, basically the ability to deploy what we call hot, warm architecture. That architecture enables more use cases to be deployed on our SaaS service, specifically in the logging and metric used cases. But at the same time we took the opportunity because it allows to deploy any use cases. We took the opportunity to reflect back some savings that we have in our infrastructure costs back to our users, like any good SaaS provider out there that is expected of us. That also means that financially users can onboard more easily more use cases to it.  As a result of it, obviously the pricing changes and these aspects, you should see some changes when it comes to year-over-year growth. Well, I would say thanks to that. At the same time we are just seeing it playing out now. We are hearing users getting excited about the fact that they can onboard more use cases into our SaaS service, but that takes time to migrate and move and that's how we see it playing out.  So I'll be honest, I think that our SaaS business is relatively at the same pace. We are happy with how it grows and as Janesh mentioned in his prepared remarks, it’s about building a company that is agnostic to where the user will end up deploying their data as long as they use and engage with us as a company.  
Tyler Radke:   Great, helpful, and maybe a follow-up for Janesh. You talked about how hiring was a little bit below plan. Obviously the OpEx growth came in a lot lower than what you saw in Q3. Can you help understand, you know are you seeing any challenges as it relates the hiring environment? I know you talked about under hiring about a year ago, and you know obviously it's a you know difficult job market out there for especially you know attracting talented developers. But maybe just some observations on what you are seeing out there and what gives you confidence you can resolve that here in Q4?
Janesh Moorjani:   Great question, Tyler. So in terms of what we see out there, it's really not any different. I wouldn't characterize it as hiring challenges by any yardstick. I think the community of users that we have out there continues to be very excited about Elastic. It's relatively the same in terms of our ability to attract talent both on the sales side, as well as on the develop side and clearly in the G&A functions as well.   As I mentioned earlier, the reason hiring was a little bit slower was we just didn't anticipate the effect of the holidays and how much of an impact that would and then there was also a little bit of other expense push-outs that I referenced that caused OpEx to be a bit lower.   So we feel confident that we can continue to attract the right talent and there’s still a pretty healthy pipeline of candidates and people that join Elastic every single month, and every single week of the month.  
Tyler Radke:   Thank you.  
Operator:   This concludes our question-and-answer session. I would like to turn the conference back over to Shay Banon for any closing remarks.  
Shay Banon:   Yes, thank you. Thank you all for joining the call. As we mentioned, Q3 was a strong quarter for us. We look forward to executing against our plan for the rest of the year and updating you next quarter. Thank you all very much. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.